Operator: Hello, and welcome to the First Quarter 2025 Investor Call for Pershing Square. Today's call is being recorded. It is now my pleasure to turn the call over to your host, Bill Ackman, CEO and Portfolio Manager.
Bill Ackman: Thank you, operator. We always begin the call by reminding of our legal disclaimer, which has been made available to everyone who's participating on the call. Also, we're not permitted to for regulatory reasons to address questions specific to Pershing Square Holdings Limited. A replay of today's call will be available for two weeks until June 5 at 01:30PM. To access the webcast, please go to persq.com. So, perhaps this is every year, but another very interesting kind of start to the year. At Pershing, we're off to a good start, anywhere between 800 to 1,000 basis points of outperformance relative to the stock market or kind of benchmark index, the S&P 500, driven by a portfolio that looks very different from the S&P 500. Just to remind you of some of the key criteria we use in selecting businesses, one of the most important criteria is we like businesses where we call sort of extrinsic factors that are outside of our control, are ones that we own businesses that are insulated from those factors. One of those extrinsic factors outside of our control of course is tariffs. We're fortunate in the substantial majority of the capital is invested in businesses that are relatively immune from the direct impact of tariffs. They're not immune from the sort of economic overall economic effects, GDP growth or global economic growth, of course, but what enables us to be a long only investor and be a long-term investor is owning businesses that are very much insulated from the kind of world around them, that the economic characteristics of business and the market positions of the companies are such that we have a lot of confidence in the business' ability to continue to grow, to generate cash, and we'll just talk through some of those characteristics as we mentioned, particular companies in the portfolio. It's been also a very active period for us, really since the beginning of the year with a number of new investments. We'll mention a new one on this call that we're kind of excited about, but maybe I'll start with a kind of overall sort of backdrop. Obviously, the big story of the year so far in the economic perspective has really been the tariffs. The Trump administration's objectives here, as laid out by the President, are: one, to kind of reduce, eliminate unfair trading practices of some of our trading partners; two, to kind of reshore strategically important manufacturing to the United States, and then improve overall balance of trade with countries like China, and I think China is clearly a big part of the focus where China's economy has grown enormously over time and there are a number of unfair practices, and, otherwise have led to very large balance of trade issues. Now in the President's approach, as we've seen multiple times in his various negotiations is pretty aggressive one, kind of shock and awe and we experienced some of that shock ourselves, but also a willingness to modify tactics depending on the impact in the world around them. And I think the decision to kind of pause reciprocal tariffs for 90 days and the same ultimately for China has kind of led to a better path, glide path, I don't know if you call it glide path, but a path to a hopeful tariff deals that are in the best interest of the United States and that resolves some of the inherent uncertainty. But I think the beginning of the year has been characterized by a high degree of uncertainty created by sort of the unknown about tariff policy mitigated somewhat or meaningfully by the pause and some of the statements made by the administration, the Treasury Secretary, and I would say cautiously optimistic we'll get to a better place on tariffs and that this will be an issue overall that will be behind markets and the economy by certainly, hopefully, the second half or certainly by year end. Other we remain pretty optimistic about markets and the economy for a few reasons. One, it appears that we're heading toward more calming of geopolitical environments. Russia-Ukraine is still far from a deal being done, but at least conversations are happening for the first time now in three years, and I think it's a reasonable expectation that Russia-Ukraine is also something resolved as we approach the end of the year. I think the Middle East situation, obviously, still somewhat challenged, but I think the biggest remaining issue is Iran, difficult to predict, but if I had my guess, I think a deal is not made and that some Israel decides to eliminate the or push off the risk of Iran having nuclear capability. That is obviously still a challenging event for the world, but I think if that were to take place or a deal were to be made, I think again, I think that's something that can be we can look to some kind of resolution also by the end of the year. So, I think we have the prospect of meaningfully reduced uncertainty as we get closer to the end of the year. The kind of the overall inflation backdrop is generally favorable. Services inflations come way down, wage inflations come way down. The kind of reported measures of CPI, PCE approach the Federal Reserve's 2% target. The only sort of outlier risk, to some degree, on the good side, of course, would be tariffs. We view that as more of a one-time effect as opposed to something. And also in light of where the tariffs seem to be headed, if we had a 10%, for example, global tariffs, we don't view that as a meaningful, particularly meaningful risk from an inflation perspective. So, perhaps prospect for the Fed is still easing toward the end of the year. So sort of an interesting backdrop for an investor kind of in markets generally. Now we're not generally investors in markets, we're an investor in a handful of specific companies and situations. We're going to address those in a little more detail. I just want to cover the Howard Hughes investment. This is a company we've been a shareholder of for since it was spun out of General Growth, one of the best really the best equity investment we made as a multiple of capital. The company was really set up to make General Growth more valuable. It took years to sort through the various assets, understand the underlying core business and then focus the company over time to a core, what we call MPC or small cities, a business of building out and developing small cities, a business we think is actually a superb business on a multi-decade basis, one that has meaningfully transformed over the last 14 years from being really not much of a cash generative business on any kind of recurring basis to today one approaching $300 million of net operating income from income producing real estate assets, kind of a pretty consistent, significant demand for from home builders for lots in light of the pretty dramatic supply demand imbalances in the U.S. housing market, the fact that people want to move to Phoenix and Texas and in Las Vegas and then the company's extremely successful condominium business. But again a complicated business in multiple states in pretty much every property type development. These are all the characteristics that the typical real estate stock market investor does not like. They prefer a single asset in some cases, single geography or focused geography income-producing assets in a real estate investment trust format that pays a dividend. This is a C corp in multiple jurisdictions, large land holdings, as well as a lot of development. Our conclusion after being a shareholder for many, many years and very strong management team being in place, but really not much, if you will, respect for markets. Companies traded at a very consistent discount is that we needed to make a strategic change. Beginning of the effort was, okay, let's take the company private, we went out to the private markets and we really could not find the capital that we needed to take this business private and keep it private for on a very long-term basis. Long-term, for most long-term investors, is a five or seven-year privatization followed by some kind of liquidity event, not something we could create for Howard Hughes. We pivoted to a different structure, and we made a deal ultimately with the company for the Pershing Square management company to invest $900 million of capital by nine million additional shares, taking our ownership up to about 47% of the company. We paid $100 a share versus a $66 stock price, obviously a very, very big premium, and we did so in order really to put us in a position to help transform the company into what we're calling a diversified holding company. Part of the thesis is that we think as a standalone pure-play real estate development company, the market will continue to sign a very high cost of capital, a cost of capital that probably cannot be exceeded meaningfully by a pure-play real estate development company. And by transforming the business into, I would say, unrelated business lines not correlated with the property markets or so correlated, for example, with interest rates, Howard Hughes today seems to trade on the basis of where the 30-year or 10-year treasury or where mortgage rates are, even though we really have not seen any change in demand for property at Howard Hughes at meaningfully higher when we had 3% mortgage rate, 30-year rates are today approaching 7%, 30-year mortgage rates. So we're quite excited about that opportunity, and we think it's a great opportunity for our investors in the Pershing Square funds. This is a meaningful position, call it 8% or 9% of capital. It's very, very inexpensive on a standalone basis, and we think the transformation will attract a much broader investor base. We think there's a very small universe of people who are prepared to own a pure-play real estate developer, but a much larger base of investors that can own a diversified holding company. If you look at the Berkshire Hathaway market cap trillion or so dollars, only take a tiny small fraction of those shareholders to take an interest into the early days of Howard Hughes, and we get to see a meaningful rerating in the company. One of the key initiatives to let the world know that this is going to be a different business, is we are very focused, perhaps as our first initiative for Howard Hughes in identifying recruiting, a team to build an insurance operation akin to, with long-term ambitions, what Berkshire Hathaway has accomplished over time. There are many benefits to building an insurance operation within a diversified holding company in terms of incremental credit support that can be provided by a diversified holding company. Here, the entity is owned, Howard Hughes is owned in part by A- rated 32% owner, that's comprised of the Pershing Square funds, and then the Pershing Square Management Company. So it's got a well-capitalized owner. Howard Hughes itself is the business will generate meaningful cash over time, which will be an interesting source of capital for investment. And we have $900 million of capital we just injected, which forms the base for building an interesting insurance operation. We have some discussions underway with a couple of potential CEOs that are would be outstanding choices, and we look forward to reporting back as we make progress with the business. And then of course, we are also open to acquisitions of high-quality businesses that meet our threshold, but we're looking unlike the purchase where funds we buy are minority interests in public companies here. Our intent would be to purchase controlling interests in private companies or controlling interests in public companies or 100% privatization transactions. With that, I'm going to turn it over to Ryan just to talk about some of the interesting trading dynamics that were created. When you own a portfolio of very high-quality businesses that are not materially affected by tariffs, but every stock moves up and down based on overall views of what's happening with tariffs, that does create interesting opportunities. So I want to, Ryan, you get into some of the changes that we made during the quarter.
Ryan Israel : Sure. So, as Bill mentioned, this was a pretty active quarter for us in terms of the underlying positions that we either trimmed, sold, added to or had new positions in. And I think what's interesting at a very high level is the process that we go through when, for example, in this quarter, we trimmed or in the first four and a half months, I should say, we trimmed five positions, we sold out of one entirely, we added to two existing positions and we bought three entirely new positions. That sounds like a lot of activity, but I think what's important it's exact same process we go through, the same fundamental mindset as when we have almost no portfolio activity and it doesn't change at all or very little from quarter to quarter, and the reason for that is we're very much bottoms up investors as Bill mentioned, where we look at each individual investment in our portfolio. We try to be very thoughtful, at looking at what the prospective returns are on that investment relative to the future business prospects, and we try to think about based upon the relative risk and reward, what would be the appropriate size for each individual position if we were to start from a blank sheet of paper. A lot of times, the economic environment or the prospective future returns suggest we shouldn't make any decisions differently than what we already have. These first four and a half months, though, given a lot of the backdrop of the markets and the potential economic outcomes, actually resulted in a significant number of changes, which were running the gamut from modest to pretty substantial. So with that, I'll give you a little bit more background and detail of what we did. To start the year in January, there was a lot of market excitement about what would be coming on economically and in terms of potential political outcomes, and as a result, the S&P was trading at all-time highs and a handful of our companies actually were trading at all-time highs as well. And so we decided in evaluating that risk-reward relative to the sizing of investments to make some reductions. So, for example, we reduced our position in Chipotle in January by a little over 10%. We reduced our position in Alphabet or Google by a little over 20%. We reduced our position in Hilton by more than 40%, and we actually ended up restructuring, as we've talked about before, our position in Nike from a common stock investment into a deep in the money position where we could effectively replicate the same dollar profits on the upside if the company achieved the potential we thought, while extracting a lot of capital from the position. We were able to take the vast majority of those proceeds and invest them in Uber at a time in which, we thought Uber was very uniquely attractively priced, and so we were able to make that swap. Most of the stocks that we have trimmed actually were trading quite below the levels at which we sold them at, and Uber already, although it's still early, is up about 35% from our cost. And Charles will talk about that position in some more detail in just a moment. At the same time, in March, we were able to sell our position, trim the position in Universal Music Group by just under 40%. I think it's important to point out Universal Music Group in our nearly four-year holding period, generally averaged about 25% or mid-20s percent of capital, which is much larger than our typical position, and so the reduction of about the high 30s percent of UMG brought it back down to what would be more of a typical larger sized position for us. And then in April, we actually sold out entirely of our position in Canadian Pacific, which is a wonderful business, but was also one, which had held in incredibly well in terms of its share price, during a lot of the tariff turmoil that happened in April, and we judged actually it was one of the more sensitive businesses economically and to tariffs relative to the rest of the portfolio. And we were able to use the position of the cash that was generated by UMG and CP in order to increase two positions. So we actually were able to buy back all of the shares in Alphabet that we sold in January and the March and April timeframe, actually about 20% cheaper than we had sold them at. We also increased by a little bit more than 10%, I'm sorry, by almost 20% our position in Brookfield at prices that were about 10% or 12% below where they are now, and then perhaps most importantly, we added a new position, which is Amazon. We also were able to increase our Hertz position, which we've previously talked about, and you can see on Bill's Twitter account. But perhaps I'll spend a little bit of time talking about what I think is the most substantial move, which is Amazon. Amazon, I think, really is emblematic of a business that Pershing Square thinks is just a fantastic franchise. At the same time, I think it really highlights what's a little bit unique about our approach, which is we follow a collection of hundreds of businesses that we have not really owned or haven't owned in a long period of time that we think are first rate businesses that we would love to own when we think the price is right and we think the returns meet the threshold that we're looking for, and Amazon has been on that list for many years. But what was unique was our ability, because we knew the business very well, to quickly move to acquire a position in April when the market was in a lot of turmoil. And so, to back up on Amazon, what we thought was kind of interesting was Amazon has two businesses, it has a cloud business called AWS or Amazon Web Services, which is really leading a lot of the technological revolution as AI and increased computer services are moving off of companies' worksites and into what they call the cloud or large data centers where a company like Amazon is able to manage all of that IT infrastructure and processes for people. It's cheaper than what they can do. It's much more reliable. It's much faster. And Amazon is sort of the 800-pound gorilla in that business, where there's only three players and they have over 40% market share, and we think the future is incredibly bright for that business, is less than 20% of all of the IT workloads are actually in the cloud today. We think going forward maybe as much as 80% or everything but 20% in the future should be in those type of environments. So that part of the business is amazing. There's also part of the business even though that is the web service is a 60%, the remaining 40% for Amazon is the retail business. That's the business that we all know and probably use almost on a daily basis today, and that's an incredible e-commerce franchise that really has over 100 million unique SKUs that they serve to customers around the world where they've invested enormously in a logistics franchise to be able to get you most products within a day of service and they've been able to carefully curate the best selection and the best price. And one of the things that makes Amazon really unique is it has these two disparate businesses, which we think individually are very valuable, but they share a very common and core framework, which is Amazon tries to build up massive scale, use the advantages of that scale to drive down price and improve the customer experience, and then that begets even more scale as more people want to do business with them and they keep reinvesting, and so that positive or virtuous cycle of gaining scale, getting a little bit more profit margin, and then reinvesting a lot back in the customer is something that unites the businesses and we think has made Amazon very special. So we've admired it for a long time. We think Andy Jassy, the CEO who's been in the seat for several years, is doing an incredible job of really getting more efficient with the business, which we think will allow for more profit margin expansion at a high rate of revenue growth, and so we've been big fans. But we had not yet judged that it would provide us with returns we were looking for historically because the business has generally traded at a pretty high multiple, which reflected the great future growth outlook, and that really changed earlier this year. Initially, back in February when the company was at an all-time high, there were some concerns in the cloud business, that because of DeepSeek in China or potentially some concerns about the sustainability of AI that people would not be investing in the business in the same rate that they would and that the Web Services business or AWS might slow a little bit. And then after the announcement of tariffs in April, the business took a real dive as people were worried about the tariff impact. And as a result, Amazon share price came down more than 30% and actually was trading when we started buying our shares at about 24.5x earnings, which was the lowest multiple that we've seen ever since we followed the company in its history, and so we thought this was uniquely attractive time as we felt that the company would be able to work through any slowdown in the AWS business and we did not judge that tariffs would have a material impact on the earnings in the retail business as well, and so we thought Amazon would be well on its way to continuing its plus 20 earnings per share growth. So as a result, I think that really highlights how we've looked at things, which is we carefully study a lot of businesses. We wait very patiently until there are opportunities. And given some of the sales that we had either trimming or an outright sales of other businesses, we had cash on hand to be able to quickly move when we judged that there was a unique opportunity in the market.
Bill Ackman: Just a couple of comments. So one on Canadian Pacific Kansas City Southern, or CPKC. This is a company that's sort of near and dear to our heart in that we played a very material role years ago in replacing the board and bringing Hunter Harrison and ultimately Hunter recruiting Keith Creel and building really an amazing railroad, from not even a standing start. It was by far the worst-run railroad in North America, and today, I think, quite clearly is the best run railroad. Even though we didn't own the stock, we kept a real interest in the company. Keith Creel got in touch a couple of years ago and said, look we're interested in acquiring Kansas City Southern. If you can be helpful to us, we'd welcome your assistance and we played a small role in helping Keith just bouncing ideas off him on how to get that transaction done. We didn't own the stock at the time, and once that deal was finally publicly announced, we bought a meaningful stake in the company, which we've held for the last several years. Our view generally is that you have a super-talented team. One of the best things you can do is put more assets under them and that's what this transaction has done for the company and we do have a very strong belief in the long-term future of the business. Now events outside of CP's control, I would say have kind of held back some of the potential that we saw at that time. We know it will ultimately be realized. So this is one of those positions where we sell with regret, but want to be super clear that we think extremely highly of the Canadian Pacific team, Keith as a person and as a leader. And someday when we have billions and millions of dollars of capital pouring in the door, we won't be forced to sell something to buy something else. That's one of the when you manage a closed box, closed system that doesn't generate cash in order to buy something new, we generally have to sell something we already own. And so in light of kind of the tariff environment, etcetera, and some a little more economic sensitivity, most of the companies we own are much more in the asset-light category, not as capital intensive, and sort of these extremely attractive entry price offered by Amazon led us to make that switch. With respect to Hilton, again, I would say incredible team led by Chris Nasseta. We've been a shareholder for many years now, bought a lot more in March of 2020. I remember the days, $55 a share. We sold some stock recently when it hit $280 a share. The market has really begun to appreciate that company, and at that price offered there were sort of better opportunities for capital, but I would say if we suffered from huge amounts of cash pouring in the door, we wouldn't have sold either one of those investments really just driven by a unique kind of relative opportunity that appeared. Let me comment Freddie before I turn it over to Charles to talk about Uber. So Fannie Freddie, long-standing position. I think we bought this stake in 2012 for a couple of bucks a share. It's been a very volatile situation. But as we as I tweeted at the end of last year and as we presented in early January, we thought this was the time for finally these businesses to be released from conservatorship and that a huge amount of value could be created, for shareholders, but also importantly, for U.S. taxpayers and for the government. The Treasury Secretary made it had an interesting insight, when he started talking about the idea of a U.S. Sovereign wealth fund, and how Fannie Freddie could be an anchor asset for the sovereign wealth fund. The challenges of trying to reduce leverage and reduce deficit are important ones, but historically, we've only tried to solve that problem or we've not tried to solve the problem, but it was based on just cutting. But I think the some important part of the approach here, which makes a lot of sense to us is growing, if you will, the asset value of the country, and compounding can solve a lot of problems, and we think Fannie and Freddie are uniquely situated to be great forever assets for the U.S. government to own. It's effectively a world U.S. housing finance system. I think there are very good reasons why this is a great anchor investment, for the U.S. government. We were not aware of those plans when we gave our presentation in January, nor do we understand the plan that the Director of Pulte would be implementing as Head of FHFA and very clearly since he arrived there was a new sheriff in town, brought everyone back to the office, restructured the boards of the entities, replaced one of the CEOs and for the first time I would say in well more than a decade, it's clear that these businesses are being run, or on the path to being run like private enterprises. All of the assumptions we used in valuing Fannie and Freddie assume basically the status quo where Fannie and Freddie were effectively wards of the government in terms of how they were managed, and as we've seen with some of the announcements from Doge, unfortunately, government bureaucracies don't ideally are not the ideal to run private enterprises, and Director Pulte has had various commentary to make clear that his plan is to run these businesses to maximize their profitability, consistent with the obvious the core mission of providing low cost, long-term fixed-rate financing to people, kind of middle income Americans. Just last night, President Trump put out a tweet that I think we may have to put up on the wall, somewhere in Pershing Square, but basically where he announced that he was looking very seriously about releasing these entities from conservatorship. He's going to have discussions with Director Pulte and the Treasury Secretary and others, but we believe that path is absolutely the right one, and we think that those entities are now ready for emergence, and we think that tweet is very, very material. Actually surprised the stocks are up meaningfully today, but kind of I was actually quite surprised they weren't up a lot more because the President we know is a deal maker. This is a deal that he is entirely in control of, and it's really just his decision. The details of execution matter, but we think the logical execution path is one and the legal execution path that respects the way conservatorship is supposed to work. I have no reason to believe why the President would operate in a way outside of the kind of legal norms for how conservatorships work, and we ultimately think that's in the best interest of the government as, ultimately, the major shareholders here. So this is a quite a meaningful position for us. I think system-wide we own something like $2.20 odd million shares collectively of both businesses, and we obviously be happy to be helpful and supportive in any way that we can to see this through. But our estimates of kind of low 30s value for the businesses upon emerging from conservatorship over the next year or two could end up being low to the extent that the Director Pulte is able to make them more run like true private enterprises. So we're extremely encouraged by the President's announcement last night. With that, let me turn it over to Charles.
Charles Korn: We're going to cover each of our positions, but in a little less detail than historically.
Bill Ackman: There really have not been a ton of material developments, but why don't you update us on Uber, because it's a new position and it's made some good progress? Thank you.
Charles Korn: Sure. Uber, there actually has been some material developments. I'll spend a little bit more time. But just as a reminder, program, because it's a new position, so we acquired this in early earlier this year, what we believed was an extremely dislocated valuation, and this was basically made possible due to concerns regarding the perceived long-term threats of autonomous vehicles or AVs, as I'll reference them, on the Rideshare business model, which basically is overshadowing excellent operating results and strong earnings growth that the company has generated in recent years. Now, it's our belief and from the work that we've done that AV technology will not be a winner take all market. And in that context, we believe that there's a partnership structure that is likely to develop with multiple different players, partnering to kind of effectuate this technology over time, and we believe that's the clear value-maximizing strategy for all industry participants. And, of course, in the context of that, we think Uber has a central role to play. And so at its core, partnering with Uber, tapping into their vast operating capabilities and demand aggregation of 170 million monthly active users, it drives the fastest route to market and, critically the highest asset utilization, revenue generation, and unit economics for AV owners, and so while it's early days, events in recent months have been supportive of our thesis. So just to kind of provide a highlight, in March, Uber successfully launched commercial operations of their Waymo fleet in Austin with preliminary data showing strong consumer uptake and high AV asset utilization. This is kind of a critical first checkpoint, if you will, and they're going to be expanding that partnership to Atlanta imminently, which will be kind of another data point on their path to commercialization with a partner in Waymo. Now in April, Waymo and Toyota announced a notable strategic partnership whereby Waymo will license the AV driver to Toyota, which will be included in next generation of personally owned vehicles. Partnerships like this, they broaden access to AV technology but also are critical in driving down the production cost as OEMs bring scaled manufacturing to the ecosystem, and we anticipate that there will be further announcements in the coming kind of quarters and years to this effect. And against that backdrop, Uber has announced a flurry of additional AV partnerships in recent weeks, including partnerships with WeRide, Volkswagen, May Mobility, Momenta and Pony.ai. Now, each of these are kind of focused partnerships, which contemplate commercial AV pilots with a goal towards broader geographic expansion over time. And notably, this has been made possible in part by advances in artificial intelligence, which appear to be lowering the time, capital, and overall barriers to entry for high-quality AV technology. Now, overall, we come away excited by the progress year-to-date and incrementally confident in our underwriting thesis. And on the operating side, quickly, Uber had an excellent first quarter. This is a local services business. There's substantial kind of international operations. The product itself is highly habitual. It has minimal to no exposure tariffs or global trade flows, and in the context of that, organic revenues continue to grow in the high teens, and the business is generating very substantial operating leverage with EBITDA growing 35% and earnings growing 80%. And so when we look kind of to the future, we see a path for Uber to grow earnings 50 plus percent this year with line of sight for continued 30 plus percent kind of compounded earnings growth as they execute against their financial targets. So I'd say it's early days, but the operating results have been excellent, and I'd say some of the preliminary pieces are coming together, which are very supportive of our big picture thesis.
Bill Ackman: Let me just briefly touch on Universal Music. I recently stepped off the Board of Universal, not because I didn't enjoy being a part of that Board, but really just from a time management perspective. I felt the right move was in light of the time, I will be spending as an executive chair role at Howard Hughes, that having another board responsibility was not ideal, and we feel that company's made very material progress on the issue was never with Universal, their ability, skills and talents in the music industry, but as a private company or controlled by a public company, a business going to now a fully distributed public company. We thought involvement in the Board could be helpful. The company recruited we think an excellent CFO, I think helped the company in terms of interfacing with analysts and more traditional public company IR role, as well as we think the company becoming a listed business in the U.S. Something that we will we helped catalyze by seeking to register a portion of the shares that we own that will establish a trading market in the U.S. We think that will provide some more data to shareholders with regular quarterly reporting that combined with the new CFO, we think will begin to highlight some of the inherent value in that business. With respect to the business, maybe, Ryan, you want to make a couple of comments on the performance?
Ryan Israel: Yes, sure. I would just add that I think this environment where we talked about some concerns about the economic outlook and tariffs really highlighted one of the reasons in our core thesis on, we think, Universal is such a special business and it's really allowed the company, I think, to do quite well this year in terms of share price performance up in the low teens, which is this business is a royalty-based business where the company is giving a very valuable product, music entertainment at an incredibly low cost in a subscription format to hundreds of millions of people around the world, and we think that both has a lot of opportunity because of the low price point for many more people over the course of the year ultimately we think billions to be able to subscribe to the service, and it also gives them a very large pricing opportunity for their digital service provider partners such as Spotify, Apple Music, Amazon and others over time to take up prices to better reflect the value they're giving. What's nice about it is the low price point and the recurring nature of it, the high value, we think insulates it from the economy, vicissitudes of the economy, and we think that there's very little tariff exposure to a digital product like this. And so we think that this environment is pretty unique for the market, starting to see what we've seen in Universal, and the business results have been strong. In the most recent quarter, they had a double-digit 10% organic growth rate, similar levels of profitability growth. And so I think that with the addition of the new CFO, as you mentioned, that can really help as the company thinks through its capital allocation policies and continues to further engage with investors.
Bill Ackman: Yes. And actually one of the threshold issues here as a Euronext only listed security, many of the most likely owners of the business who are required to invest only as a mandate matter in companies that are listed here, that's a very, very large base of incremental demand for the shares that we think will be quite helpful. Charles, update on Brookfield?
Charles Korn : Sure. So, Brookfield, the share price has been roughly flat year-to-date, and the stock today is trading just, and I'll give you this context at roughly 14x earnings, and this is again against a backdrop where direct peers like Apollo and KKR are trading at 17x to kind of 23x earnings, respectively. Now, what's interesting is Brookfield it's been quite volatile. So in April, it kind of suffered along with the broader market downdraft but has recovered. In the context of that direct peers are actually still down 20% year-to-date, roughly speaking. And so I think an interesting question is kind of why is that, and kind of offer a few observations. So, first, one, the stock trades in an objectively low multiple, right? At 14x earnings, I think the lower multiple has kind of acted as a cushion to some extent on the volatility in the marketplace and can provide some floor on valuation, particularly in the context of earnings growth continuing to remain very strong. And so touching on that second kind of point is overall, when we assess Brookfield, I note that our view is it actually has much less macroeconomic exposure compared to many of the other alternative asset managers. And there's basically two reasons for that. So overwhelmingly, Brookfield's businesses are focused on essential physical assets. That includes power and renewables, infrastructure, and real estate. They actually have modest exposure to what we've kind of considered traditional private equity. Now, when you think of power, infrastructure, et cetera, these are domestic businesses, which deliver critical services and they serve local demand. So infrastructure cash flows additionally, they're oftentimes, and in Brookfield's case, they're highly contracted and or regulated and can generally pass through increased input costs. So, as such, Brookfield's businesses are relatively or entirely protected from tariffs in global trade flows, which is different than many of their peers. And then, moreover, when you kind of consider the cash flows of BN, the parent company, which we own specifically, they have very modest exposure to the more economically sensitive carried interest, and this is again kind of a notable difference for some of their peers. So carried interest today is less than 10% of Brookfield's current cash flows. In fact, one of our theses and why we own this stock is we believe they're materially under-earning today with carried interest in the, call it, $500 million annual range, scaling to $2 billion to $2.5 billion over the next few years. But that means that the current base of earnings you're buying today are more insulated from kind of macroeconomic sensitivity. And so taken together, the business is not particularly exposed to macroeconomic volatility, and our expectations for earnings this year, sorry, excuse me, earnings growth this year have not materially changed. To that end, operating results have been very strong to start the year. Their distributable earnings in Q1 were up 26%, which was in line with our expectations, and we continue to expect attractive growth in 2025 and beyond, and we think the stock is very cheap.
Bill Ackman: Thank you, Charles. Alphabet, Bharath?
Bharath Alamanda : Sure. So, despite excellent business performance, which included operating profit growth of 17% last quarter, Google continues to trade at a very discounted valuation relative to its business quality and growth prospects at 18x forward earnings, and we believe that discounted valuation is primarily driven by concerns over its competitive positioning in AI as well as exposure to a potential slowdown in economic growth, which is obviously not a risk unique to Google but affects the digital advertising industry sector more broadly. Starting on AI, we continue to believe Google's product innovation and velocity is very underappreciated, and it's probably best seen through the rollout of AI overviews, which are the summary AI responses in search. Despite launching just last year, AI overviews is being served to more than 1.5 billion users worldwide, and it's resulting in higher quality engagement with users asking more detailed queries as well as searching more frequently. Ads have also been introduced on AI reviews, and they're now monetizing at the same rate as regular search ads. And on the back of AI review success, Google is rolling out AI mode, which is more closely resembles a chatbot like conversational interface, directly onto the search page as well. Over the long-term, we think Google has a number of structural advantages in AI from its vast corpus of data, including two decades of consumer queries and user behavior data to its technical infrastructure, which includes their proprietary GPU chips, which are designed specifically for AI, to their broad consumer presence, where they have seven different apps with over two billion users each, and these strengths were on full display at their recent Google IO Day conference event, where they previewed a whole bunch of new features that highlight the accelerated product launch cadence. One such notable feature, which will be coming soon on AI mode, is AI mode will be able to soon leverage personal contacts from Gmail with the user's consent, obviously, to provide very curated and personalized responses in search, and that's a feature that Google is uniquely well-positioned to deliver and also highlights the strong network effects of its ecosystem. So, we're looking forward to more features like that that leverage Google's unique market position. And then on Google's exposure to economics and clickality, it's just important to highlight that Search and YouTube are two of the most resilient and highest return ad formats and occupy the least discretionary part of an advertiser's budget. So, typically, in an economic slowdown, advertisers tend to pull back from more experimental and brand advertising formats versus Search and YouTube, where they have both a very directly measurable and a really high return on their ad spend. And then on the non-advertising side, Google Cloud, very similar to AWS, benefits from that same powerful secular trend of IT workloads migrating from on-premises to cloud, and we think that should mitigate a lot of the economic volatility. So stepping back, we're very optimistic that continued progress on AI, as well as demonstrated economic resiliency, should lead to a multiple rerating over time. And in the meanwhile, the company is generating rapid earnings growth. And as Ryan mentioned earlier, we've been able to opportunistically take advantage of the share price volatility by trimming a portion of our position beginning of the year and basically repurchasing a similar number of shares last month 20% cheaper.
Bill Ackman: Could you just briefly comment? This doc took a dive on some of the commentary, EduQ's commentary during the trial. Yes. And maybe touch on how we think about some of the litigation risk.
Bharath Alamanda: Yes, sure. On the EduQ commentary, the specific comment he made in the antitrust trial was that on Apple browsers, they were seeing a decline in query volumes. That evening, the same day that EduQ made his comments, Google put out their statement showing emphasizing that they're seeing query growth globally and on Apple devices specifically. So that discrepancy might be due to the fact simply that Safari, which is Apple's browser, might be losing share relative to other browsers globally, right? So that's what could have led him to come to that conclusion. On Google's antitrust issues, I would say the most substantive case is around the default search contract. And just as a reminder, a federal court ruled against Google in favor of the DOJ in the legality of their default search contracts with Apple and Android OEMs last August. The remedy trial for that case concluded last week, and a final ruling on remedies is expected by the end of the summer. We continue to think that Google is well-positioned to navigate a wide range of remedy outcomes, and the most likely remedy outcome is a potential Choice Screen implementation, which there is strong precedent for from EU antitrust enforcement, and Google has been able to manage through that transition extremely well. So we'll continue to monitor the developments in that case.
Bill Ackman: Okay, great. Feroz, restaurant brands.
Feroz Qayyum: Sure. So, restaurant brands' share price has appreciated by about a high-single-digit percentage basis, really due to better-than-expected business performance, and also as investors have flocked to high quality durable businesses like it. So, despite the volatile market environment and really an uncertain economic outlook, the company will still grow its operating profit at more than 8% this year, which is consistent with its long-term growth algorithm. Now, how can it do that? It can achieve that consistency of growth really due to its franchise business model, where neither tariffs nor economic uncertainty will have really a material impact on its profitability. First, due to the fact that restaurant brands generate the majority of its profits from franchise royalties, which are based on sales, it will not be directly impacted by tariffs. For its franchisees, tariffs service at no more than 100 basis points of headwinds to their cost of goods sold as the vast majority of the input costs in food, beverage, and packaging are localized. Now, obviously, franchisee profitability is paramount, and it really matters to the long-term health of the brands. So, the company is also actively working with its franchisees to even lessen that impact. And then second, if economic growth were to slow down, and we've seen some issues of that. And if the economy were to enter a recession, the restaurant brands should actually benefit from consumers trading down. And despite some noise in the first quarter, the company's fundamentals are already improving, with same-store sales performance in the second quarter already much better. And while unit growth will be a little bit lower this year due to some issues abroad, the company has done a really nice job in broadening the sources of unit growth over the last couple years. As just one example, the Canadian coffee market has often been discarded as a mature coffee market, but Tim Hortons will actually grow units there this year, and these units are far more impactful to the company's bottom line than its units abroad because of the higher average unit volumes. And so while the shares have outperformed the broader market year-to-date, they still trade at almost a 30% discount to other franchise restaurants like McDonald's, Yum!, and Domino's, all of which actually have very similar 8% operating profit growth algorithms. So we think that leaves ample room for restaurant brands to continue to outperform as it hopefully closes that gap over time.
Bill Ackman: Okay, great. Let's see. Manning, why don't you update us on Chipotle?
Manning Feng: Great. So, Chipotle has had quite a challenging start to the year with the share price down about 16% year-to-date. So, a combination of severe winter weather at the beginning of the year, the Los Angeles forest fires as well as just a general uncertain consumer spending environment have pressured Chipotle sales. In the first quarter, same-store sales were down 0.4% despite what we thought was actually quite an encouraging launch of Chipotle Honey Chicken, which is the company's new limited time offering. While Chipotle is certainly not the only restaurant company or the only consumer company for that matter to see a slowdown on this year, management is not making any excuses. So, they have a detailed action plan across operations, marketing and digital to reaccelerate comp growth. We believe these initiatives, which include everything from a new summer marketing campaign, which just started, a new dip that they're launching in June as well as rolling out more efficient equipment across all restaurants to improve throughput. So, we believe these initiatives, along with easier comparables will help Chipotle return back to that mid-single-digit type same-store sales growth starting in the back half of 2025, and we don't think that improvement actually requires any improvement in the macro. This is just initiatives that are under management's control, and we believe that in times of economic uncertainty, Chipotle's value proposition, which again is a meal delivered with fresh ingredients, highly customized, very convenient, all at a 20% to 30% lower cost than comparable offerings from peers. We think that value proposition just makes Chipotle's competitive advantage even stronger in these times.
Bill Ackman: And they've been much more aggressive on portion sizing. So a family can now share a burrito as opposed to have to.
Manning Feng: Exactly. Burrito is the size of your face is.
Bill Ackman: And in the [Maha] period, you can share burritos. But why don't we jump to Nike, Anthony?
Anthony Massaro: Thanks, Bill. So, Nike also has had a tough start to the year, stocks down about 19% year-to-date, really reflecting two issues. The first one is that the turnaround that the new CEO is engineering at Nike is resulting in tougher near-term financial results than the market was anticipating at the beginning of the year. The reason for that is simply that it's easier to pull back on what's not working than it is to seed, scale, and ignite new innovations. So one, you could do really quickly. The other one to do it right takes time. I think that's some of what we're seeing. What we like here is that Mr. Elliot Hill is operating the company as if he were a private owner. He is certainly not managing to quarter to achieve a certain EPS or anything like that. He's doing exactly what you would want as an owner of the business to get it to the right place. So we like everything we're seeing from Elliot. The other headwind to Nike this year has obviously been tariffs. The -- Nike is one of the companies that we own that is far and away most impacted by tariffs. It imports all of its merchandise from primarily Southeast Asia. So, obviously, the company that's impacted by that, but we think it's well-positioned to weather the storm there. It has a very conservative capital structure with a $1.4 billion net cash position. And it's important to note that it's not in any way in a disadvantaged position versus peers. The entire.
Bill Ackman: How big is their cash position?
Anthony Massaro: $1.5 billion net of debt. Okay. Yes. So they have gross cash is over $10 billion and then net of the debt that they have, it's about $1.5 billion net cash. The entire athletic footwear and apparel industry manufacturers in Southeast Asia, so they're right in line with peers. And if tariffs are not reduced or there's no exemption for the category, this will have to be covered by a variety of actions including price increases over time and you saw some press reports to that effect yesterday. So there's two other business developments I'd like to point to in the quarter that we think were quite positive for Nike. The first was announced on May 5, which is that the President of Consumer Product and Brand, so kind of one of the two Co-Presidents of the company, Heidi O'Neill, is leaving, and her role is being split into three areas: Consumer and Sport, Marketing and Product Creation, and all three of those areas are helmed by executives who have been with Nike for at least 20 years and all three report directly to Elliot Hill, the CEO, and we think that this delayers the organization, upgrades the team and provides Elliot with better oversight and control over the turnaround. The second positive development is two of Nike's retail partners in the U.S. are merging. So, Dick's announced its acquisition of Foot Locker on May 15. The combined company will purchase around 40% of its merchandise from Nike and will account for just over 10% of Nike's global revenues. Conventional wisdom would view customer consolidation as a negative because they have more bargaining power, et cetera, but we don't think that's the right way to think about this. Management commentary on the acquisition call was extremely bullish on Nike, and the Dick's Executive Chairman, Ed Stack, implied that the timing of this deal was influenced in part by Nike's reemphasis on wholesale. So, Nike accounts for 60% of Foot Locker sales that used to be closer to 70%. So this is effectively a big bet, not only on Foot Locker, but a big bet on Nike's turnaround by somebody who's extremely talented with a superb track record. So, the Executive Chairman of Dick's owns about a $4.5 billion stake in the company, which is quite powerful. He served as CEO from 1984 to 2021 and Executive Chair since, and since Dick's went public in 2002, its shares are up 84 fold versus the market, which is up 10 fold. So 22%.
Bill Ackman: How come we missed that one?
Ryan Israel : That was a big miss. So it's been a 22% annual return over 23 years, which is just remarkable. And we like somebody with that track record putting a big vote of confidence behind Nike.
Bill Ackman : Ryan, thank you. Quick update on Hilton.
Ryan Israel: Sure. Yes. So as I mentioned earlier, we had reduced the size of our Hilton position after the share price. It performed incredibly strongly over the course of the last year, and we judged that the returns had come down a little bit and that was better to reduce the size of the position relative to the prospective return, but we remain incredibly confident about the business model, the management team and the company's future growth prospects. When you sort of think about kind of the dual risks that we see out there potentially right now in terms of tariffs and economic growth, Hilton is very well protected and insulated from both of those risks. The royalty based nature of the business model means there's really no direct tariff impact. There's been a lot of talk about some secondary impacts. For example, a lot of companies that are in the travel industry have seen inbound travel or international travelers coming to the U.S. has come down pretty substantially, but Hilton is very well protected from that. The vast majority of its business is conducted in the United States, and the vast majority of that portion of its business is really business travels. You have a primarily business-focused domestic travel company in Hilton. So, it's not really seen any impact that a lot of the potential peer set, which is more of an international leisure focus to see. And then longer-term, what's interesting about the business is because the concept is so strong with Hilton-branded property, we've seen unit growth or room count growth grow dramatically over time at a 6% to 7% rate on average, and because Hilton isn't the one supplying the capital, it's a very solid way for the company to continue growing in a capitalized manner, even if an economic slowdown might cause RevPAR or the same-store sales metric to soften somewhat. So we think the earnings scope and scale of their footprint make it an ideal partner for a company like Uber. This could prove to be an entirely new revenue stream for Hertz and further help it leverage its fixed cost base even if the travel demand is weaker. And so given the asymmetry of returns and considerable upside, we remain excited about our investment in Hertz and, we've sized it appropriately for that asymmetry as well.
Bill Ackman: Great. Yeah, last but not least is Hertz. Just a brief comment. We had the opportunity to meet with management earlier this week. Was it this week? Yes. And, you know, very impressive team. Met the senior team, and they clearly have a handle on all the various issues of the company, which begin with operational issues and system issues, and then, of course, capital structure management that they're deeply working on. But, Feroz, why don't you give us the details on the business?
Feroz Qayyum: Sure. So we really like our Hertz investment partly because we think it has an asymmetric range of outcomes with the potential for its share price to really increase several fold in the coming years. And as Bill announced last month on X, we now have a 20% stake in the company, and we had an opportunity to purchase these shares at an average cost of just about $3.80, partly because the market had discarded this business as structurally unprofitable and burdened with excess leverage. So, for our full thesis, I would direct you to Bill's tweet on X, formerly known as Twitter. But I'd really make two points. One, the business is on the cusp of profitability, and the improvements that the CEO and his team are making can lead to normalized EBITDA of about a billion dollars in the near term and the potential for much more than that with the help of some of the cost savings that can be taken out of the business. In the meantime, the business has ample liquidity to see through this transformation. It has more than a billion of liquidity now. It was recently able to successfully extend its maturities on its revolvers that a couple of investors are betting they would not be able to do, and it has plans in place and multiple levers really, to deal with its upcoming 2026 debt maturities, as well as some legal liabilities that might be settled in the near term. When it comes to tariffs, it's really a twofold story. On one hand, the company is uniquely positioned to benefit from the actual tariffs. As a reminder, Hertz owns about a 500,000 vehicle fleet valued at about $12 billion, which are financed through ABS facilities, and those have already begun to increase in value as used car prices rise. And on the flip side, the company has already taken delivery of about 70% of their model year 2025 purchases from OEMs, and it's not exposed to higher tariffs on the remaining ones, as they basically locked in the economics. On the other hand, however, as Ryan mentioned, the broader travel environment has gotten weaker, and the company is seeing moderating demand for their corporate business, the government business, as well as the inbound US Business. Although the leisure business and the forward bookings on that remain quite strong. So, a weaker demand environment could certainly make the Hertz turnaround more challenging. However, what's interesting about Hertz and the car rental companies is that unlike other travel-related industries, these companies can really, very quickly deep fleet to meet the new realities of the marketplace because they're really buying and selling cars every day in the marketplace. And what's also interesting is that prior periods of economic shocks have historically been followed by periods of constrained car supply. Now, why is that important? That really helps pricing. So the company actually points to two prior crises. If you go back and look at the financial crisis and you look at the COVID 19 pandemic, they actually both led to significant RPD, which is revenue per day gains throughout the industry. And then in terms of upside levers, we also believe that over time, Hertz has the potential of being a very significant partner to companies like Uber that are rolling out autonomous vehicles. If you think about it, Hertz has an expertise in vehicle maintenance, reconditioning, servicing, and the significant scope and scale of their footprint make it an ideal partner for a company like Uber. This could prove to be an entirely new revenue stream for Hertz and further help it leverage its fixed cost base even if the travel demand is weaker, and so given the asymmetry of returns and considerable upside, we remain excited about our investment in Hertz, and we size it appropriately for that asymmetry as well.
Bill Ackman: Yeah, actually one of the interesting things that management talked about both on the call and we had the opportunity to get a presentation directly from a company called UBI that has an AI technology that effectively instantaneously can assess a car upon it leaving hurts premises and returning. That, of course, makes it much easier for them to identify damage to a car where the consumer can, there's a verifiable proof of the outcome we expect. The company expects that this will enable significantly better insurance recoveries and, ideally a better customer experience. There's some automation technology in terms of companies, the cars leaving the lot and returning that benefit. And management is talking about as much as $700 million of some combination of revenue cost synergies from that technology. So, a lot of interesting sort of embedded optionality in what is itself an interesting option, like a structured company with an in the money option, but one that we expect pass through time. Hopefully, that option goes further into the money. Just want to address a couple of questions that came in. One was how do you think about potential conflicts of interest, managing your current funds and Howard Hughes? Do you have a plan or framework in place to ensure decisions remain aligned with the best interest of current fund investors. Excellent question. So a few things there. One, we are receiving Pershing Square is basically so either Ryan or I are going to get compensated for being executives of the company in cash or salary or equity, or other form. But in addition to Ryan and I, effectively the entire Pershing Square team is being made available to Howard Hughes. As part of our arrangement with Howard Hughes, we negotiated a $15 million annual fee as well, as you might think of it like an incentive management fee. A management fee that gets paid to the extent that the stock price goes up over time, and the extent that we receive fees, we're going to rebate or reduce the fees of the funds by that amount proportional to the amount of the company each of those funds owns. So on a net basis, to an investor in per square funds, there's no incremental fees load. And I would argue it's not just a neutral benefit, it's a materially positive benefit. We believe we're going to be able to add value to these companies well in excess of the effect. It's almost like a cost reimbursement that we are receiving. And to the extent we can add value, for example, the management fee is effectively 150 basis points per annum above inflation. To the extent, we add more than 150 basis points per annum above inflation to the companies in value we're creating meaningfully, it will be a materially important positive for shareholders in terms of conflicts of interest. One, we own this investment through the Pershing Square funds. We're the largest investors in the Pershing Square funds, and that we now have an even larger position we've taken through the management company that's owned 90% by the employees. One that's about as good as you can get in terms of alignment, and both companies themselves have different mandates. The mandate of the person square funds is to find basically by minority stakes in large cap and mega cap companies of the kind that we've just discussed today, and the mandate of Howard Hughes is to build a diversified holding company by growing an insurance operation by buying controlling or 100% interest in private companies. So, there really is no risk of, it's very clear where an opportunity gets goes. Up until this point in time, one of the interesting things about Howard Hughes we have seen lots of interesting private opportunities that we have not had a place to put them, and now we will, and we think that will inure the benefit of Howard Hughes and ultimately to our investors. And as that Howard Hughes investment compounds. Over time, hopefully we can grow the market cap meaningfully. That means a meaningful reduction in the headline fees paid by the funds that we manage. Last but not least, I wanted to introduce Sonal Khosla. Sonal, we hire a new member of the investment team every few years, so it's not a pretty often thing, and when we do, and I would say this year more so than ever before, we had a literal outpouring of every analyst at probably pretty much every private equity firm of scale applied for this opportunity, and we did a pretty intensive process and we had one clear winner, and that was Sonal. So, not to raise expectations, but Sonal, maybe you can push the little button on your thing. Why don't you just tell us a little bit about yourself and your background?
Sonal Khosla: Sure. Thanks, Bill. My name is Sonal. I joined the investment team a few weeks ago. I previously spent time at KKR on their industrial private equity team.
Bill Ackman: How long are you there?
Sonal Khosla: I was there for five years.
Bill Ackman: And what did you do before that?
Sonal Khosla: So I joined KKR out of college and school at the University of Pennsylvania.
Bill Ackman: And another Wharton grad?
Sonal Khosla: Yes.
Bill Ackman: Sounds like we should be paying like almost a franchise fee, but these days, my interest in funding universities, I'm holding back until I see some progress. But look, we're delighted to have Sonal on the team. We've got a lot of interesting things that we're working on. Sonal is already meaningfully engaged. With that, I want to thank you for joining the call, and we look forward to speaking to you soon. Thank you.
Operator: